Operator: Welcome to the Old National Bancorp's First Quarter 2015 Earnings Conference Call. This call is being recorded and has been made accessible to the public in accordance with the SEC's Regulation FD. The call, along with corresponding presentation slides, will be archived for 12 months on the Investor Relations page at oldnational.com. A replay of the call will also be available beginning at 1 PM Central on April 27 through May 11. To access the replay, dial 855-859-2056, conference ID code 23961693. Those participating today will be analysts and members of the financial community. At this time, all participants are in a listen-only mode. Following management's prepared remarks, we will hold a question-and-answer session. At this time, the call will be turned over to Lynell Walton for opening remarks. Ms. Walton?
Lynell J. Walton: Thank you, Holly, and good morning, everyone. Joining me today on Old National Bancorp's first quarter 2015 earnings conference call are Bob Jones, Chris Wolking, Daryl Moore, Jim Sandgren, Jim Ryan and Joan Kissel. Some comments today may contain forward-looking statements that are subject to certain risks and uncertainties that could cause the company's actual future results to materially differ from those discussed. Please refer to the forward-looking statement disclosure contained on Slide 3 as well as our SEC filings for a full discussion of the company's risk factors. Additionally, as you review Slide 4, certain non-GAAP financial measures will be discussed on this conference call. References to non-GAAP measures are only provided to assist you in understanding Old National's results and performance trends and should not be relied upon as a financial measure of actual results. Reconciliations for such non-GAAP measures are appropriately referenced and included within the presentation. I'll begin the analysis of our first quarter earnings on Slide 5 where I’ll provide an update on our performance as they relate to our 2015 initiatives. Our first strategic initiative for 2015 is to grow organic revenue. Our organic loan growth during the first quarter was 2.2 million when looking at period-end balances while year-over-year, we experienced organic loan growth of 341 million or 7% on a period-end basis. This loan growth is net of loans acquired through acquisitions and excluded the change in covered loans. In addition, adjusted revenue grew 15.1% over first quarter of 2014 results. And as Bob outlined for you in last quarter’s call, we had initiated a new company-wide referral program and are very excited about the positive reaction we’ve received both geographically across our footprint and across all lines of business. In just the first 60 days of this program, Old National associates have logged over 7,300 referrals. We’re also pleased that our core net interest margin remains relatively stable during the first quarter as compared to the fourth quarter of 2014. Our second strategic initiative for 2015 is to improve the operating leverage of the company. As we discussed in our first quarter earnings call, we have initiated actions, which we believe will improve the efficiencies of our organization. These actions include branch sales and consolidation and early retirement program and other workforce reductions. To-date, these actions are all tracking as planned from a timing perspective and we continue to anticipate annualized non-interest expense savings of 23 million to 27 million upon completion. Our final strategic initiative is prudent use of our capital and providing the best possible return for our shareholders. We did utilize our stock repurchase program in the first quarter and repurchased 3.4 million shares during that time. Also during the first quarter, we increased our quarterly cash dividend to $0.12 per share. Turning to Slide 6, you’ll see we reported quarterly GAAP net income this morning of 20.9 million or $0.18 per share. Included in these GAAP reported earnings are charges related to our efficiency initiatives namely 4.4 million in severance charges and 2.6 million in charges relating to our branch action. Also in the quarter were 4.0 million in merger and integration charges. I’ll now turn the call over to Chris to provide more details.
Christopher A. Wolking: Thank you, Lynell. The graph on Slide 8 tracks the increase in our adjusted income since 2011. Adjusted income, as defined in the bullet point on the slide, has increased 13.5% annually from 2011 through 2014. We’re pleased with the annual growth of adjusted income through 2014 and believe we will see strong performance in 2015 due to the successful integration of our acquisitions, the outlook for loan origination and the anticipated cost savings once we complete our efficiency initiatives. We should begin to see the full benefit of the integration of our acquisitions, the branch consolidations and branch sales by the beginning of the fourth quarter of 2015. Slide 9 shows the company’s revenue performance annually from 2011 through 2014 and compares first quarter 2015 to first quarter of 2014. The dark blue segments of the stacked bar graphs show revenue without securities gains, accretion income and the amortization of indemnification assets. This revenue grew 5.2% annually from 2011 through 2014. Including accretion revenue and minus the indemnification asset expense, revenue grew at the same rate annually through 2014 but from a higher starting point since 2011. Revenue less securities gains, accretion and IA amortization was $130 million in the first quarter of 2015, up from $112.9 million in first quarter of 2014. Before bank acquisitions reclosed during the last year, Tower Bancorp in Fort Wayne, United Bancorp in Ann Arbor, Lafayette Saving Bank in Lafayette, Indiana, and Founders Bank Corp. in Grand Rapids, Michigan contributed to the strong revenue increase over first quarter 2014. We closed Founders on January 1 of this year. Compared to first quarter of 2014, average loans were $1.8 billion higher in the first quarter of 2015 contributing to a $7.5 million increase in net interest income while management fees and mortgage banking revenue were also higher when compared to first quarter 2014. You should note on Slide 9 that accretion income net of the amortization of the IA increased from $37.3 million in 2011 to $33.3 million in 2014, we expect the net accretion to decline gradually over the next three years. I’ve included a new slide later in the deck that shows our annual forecast for net accretion income. Moving to Slide 10, I’ve shown the annual trend in our noninterest expense and I compared first quarter 2015 expenses to first quarter 2014. Operating expenses are reflected in the dark blue segments of the stacked bar graphs. Operating expenses increased 3.8% annually from 2011 through 2014. 2014 includes a partial year’s expenses for Tower, United, Lafayette Saving Bank all of which closed after the first quarter of 2014. Operating expenses for the first quarter of 2015 were $101.7 million. This includes a fourth quarter of expenses for Lafayette Saving Bank, which closed on November 1, 2014. Operating expenses for Founders Bank, which closed on January 1, 2015 are listed as a separate segment of the bar graph and were $3.5 million for the quarter. I also listed several other costs from mergers and integration, our severance and early retirement program costs and costs related to the branch consolidations. The total cost in the quarter for these programs was $11 million. Without the merger and integration costs and the costs associated with our efficiency program, our efficiency ratio for the quarter would have been 68.9%. The first quarter of 2015, we completed our early retirement program. We expect to reduce 136 FTE through the early retirement program and other position reductions. In addition, we expect 164 staff reductions through the sales of the Southern Illinois market and selected branches in Eastern Indiana and branch consolidations. The total of 36 branches are expected to be closed or sold by the end of the third quarter of this year. We are consolidating 19 branches. We closed three branches in Q1, closed three in early April and expect to close the remaining 13 branches by the end of May. The sales of 17 branches to two different banks should close during the third quarter of 2015. The expense savings from the branch sales and consolidations plus other efficiency measures should be $23 million to $27 million annually or $5.75 million to $6.75 million quarterly. We should see a full quarter of savings in the fourth quarter of 2015. Additionally, as noted in the footnote of Slide 10, we expect $4 million to $5 million in annual savings once LSB and Founders are fully integrated and we should see a full quarter’s benefit from this point also in the fourth quarter. In the second quarter of 2015, we expect an additional $1 million to $2 million of integration expenses related to LSB and Founders and an additional $4 million to $5 million of costs for the branch sales and consolidation. Slide 11 shows that the bonus of our net interest margins for the quarter. Fully taxable equivalent, net interest margin declined to 3.70%, 3.83% last quarter and 4.22% in the first quarter of 2014, 56 basis points of first quarter 2015 margin was due to the accretion of discount associated with purchased accounting for acquisitions. Our total loan mark on Founders Bank, which as I noted earlier closed in January, was 5.3% or $19.3 million. This is well within the mark we anticipated when we announced the deal. Core net interest margin was 3.14% in the quarter, one basis point lower than the fourth quarter of 2014. Fewer days in the first quarter caused a 3 basis point decline in the core margin. While average loan balances were higher in the first quarter, the margin benefit of higher loans was largely offset by lower total earning asset deals during the quarter. Finally, margin in the quarter was up 2 basis points from an increase in interest collected on loans previously treated as nonaccrual. We had the same number of days in the quarter as fourth quarter of 2014. We believe core net interest margin would have been closer to 3.17%. We expect next quarter’s core net interest margin to be in the range of 3.14% to 3.16%. Continued low short-term rates and limited opportunities to invest our portfolio of cash flows and assets with acceptable risks and maturity, they continue to put pressure on net interest margin. As Jim Sandgren will discuss in his presentation, however, our loan pipeline is strong and should result in the opportunity to deploy investment portfolio of cash flows into loans. Slide 12 is a new slide that illustrates the history and our forecast of accretion income and indemnification asset expense through 2017. We have had ongoing questions from you about the future impact on earnings of the accretion created by purchased accounting. We realize this is quite complicated particularly when we layer on the impact of the remaining FDIC indemnification assets and the additional purchase accounting discount created by the four new acquisitions. As you can see by the trend line on the slide, net accretion, which is accretion minus the amortization of IA expense, is forecasted a decline in a gradual slope over the next three years. Accretion net of IA expense should be $38.9 million in 2015 approximately 4.5 million less than our actual net accretion of $33.4 million in 2014. 2016 net accretion contribution should decline to $33.9 million in 2016 approximately $5 million less than our projected 2015 average. This accretion is scheduled based on projected amortization with expected loan renewals and paydowns. If paydowns accelerate from our projection, accretion income could be higher in earlier periods and lower later through. Built in our projections show a remaining discount of $66.9 million at the end of 2017, so accretion income will likely be a contributor to net interest income in 2017 and in the years after 2017. I’ve included historical information on the indemnification assets since the 2011 FDIC-assisted acquisition of the Integra Bank asset on Slide 34 of the deck. Moving to Slide 13, I’ve provided information on our sensitivity to rising interest rates. The graph on the right-hand portion of the slide shows two of our model grade scenarios. The impact on net interest income for one year if interest rates increase 100 basis points all along the yield curve and the impact on net interest income if interest rates increase based on the forward rate yield curve as of the quarter end reflected in the graph. As you can tell by the progression of the modeled results since third quarter of 2014, we’ve continued to increase our asset sensitivity and our net interest income should increase when interest rates rise. The bullet points on the left side of the slide reflect several important factors that influence our sensitivity to interest rates. The major drivers of the rate risk in our models are the assumptions we use for rate sensitivity of our transaction accounts. We believe our assumptions are conservative. Total interest-bearing transaction accounts increased from 8 basis points to 44 basis points if rates increase 100 basis points immediately, and 21.5% of our noninterest-bearing checking accounts are considered in our models to be sensitive to rising interest rates. We believe our models accurately represent our current sensitivity to interest rates and we will likely maintain our current asset sensitivity. Slide 14 shows the change in tangible common equity since 12/31/2014. We reduced tangible common equity during the quarter from $896.2 million at 12/31/2014 to $851.6 million at 3/31/2015. We increased the quarterly dividend per share to $0.12, repurchased 3.4 million shares of stock during the quarter and used a combination of cash and stock to purchase Founders Bank. In October 2014, the Board authorized a 6 million share buyback. We have 1.9 million shares left to buy back under this authorization and expect to complete the share of buyback in the second quarter. Tangible book value per share as of 3/31/2015 was $7.28 per share down from $7.67 per share at 12/31/2014. Because we were able to repurchase more shares in the first quarter than we anticipated, TBB per share declined in Q1 more than we had anticipated. We expect tangible book value to increase once we finished our stock buyback. Slide 15 shows the trend in our key capital ratios during 2014. While we show capital beginning to track somewhat lower than in peer group, we believe our capital ratios accurately reflect our balance sheet risk. I expect both our risk-based capital and tangible common equity ratios to increase during 2015 after we have completed our share of buyback. I’ll now turn the call over to Jim Sandgren.
James A. Sandgren: Thank you, Chris, and good morning, everyone. From both a bank perspective and a fee-based business perspective, the first quarter of 2015 saw a continuation of its positive momentum that we generated throughout 2014. Among the many positives we experienced was our annual organic loan growth of 7%, record commercial loan pipeline numbers and a significant increase in our mortgage loan business. If you’ll turn to Slide 17, I’ll start my comments by focusing on loan growth, excluding covered loans, for the quarter. The slide depicts both end of period balances and average balances from both a quarter-over-quarter and year-over-year perspective. As you can see in the bar graph on the bottom left, we experienced year-over-year loan growth in excess $1.8 billion, 341.4 million of which was due to organic growth with the remainder attributable to loans obtained through Tower, United, LSB and Founders partnerships. The year-over-year organic growth we enjoyed was largely fueled by an $85.1 million increase in commercial and partial real estate loans, a $261 million increase in consumer loans primarily driven by indirect. Turning to the bar graph on the top left corner, you’ll see that nearly all of our quarter-over-quarter loan growth of 342.3 million was driven by our new completed Founders partnership. However, at close examination of our first quarter 2015 commercial loan results reveals a very solid quarter from a new origination perspective. Moving to Slide 18, you can see that commercial loan production increased nearly $75 million from $153.2 million in first quarter 2014, $227.8 million in the current quarter representing an improvement of nearly 50%. Loan production was solid in many of our markets but particularly strong in Louisville, Kentucky, Kalamazoo and Ann Arbor, Michigan. Unfortunately, the higher quarterly wealth production was offset by some significant principal reductions and an unexpectedly high $176.5 million in payoffs with large commercial and commercial real estate balances. Some of these borrowers took advantage of the low rate environment to refinance their loans in secondary markets while other large borrowers sold their businesses and/or real estate holdings and some utilized cash on hand to ultimately retire their debt. In spite of these payoffs, we are able to maintain a majority of these relationships and in some cases we will have lending opportunities with these borrowers in the near future. While we were obviously disappointed by this unexpected rise in payoffs, we remain very encouraged by the higher level of production year-over-year and a stable and increasing yield on our new commercial loan production depicted by the blue line. As you can see, our yield on new commercial loans have been very stable over the past three quarters since we peaked in Q1 2014, and we did see a slight increase into 2015 yields. If you turn to Slide 19, I’d like to highlight some other positive quarterly results. If you recall, we reported record pipeline numbers during both the third and fourth quarters of last year. I’m pleased to say that our commercial team continues to raise the bar with regard to pipeline. As of 3/31, our pipeline was up $833 million with 190 of that in the accepted category and another 175 classified as proposed. In these two most important pipeline categories, we have seen a 46% increase quarter-over-quarter and a 93% increase year-over-year. As you can see on the bottom of this slide, we have also included pipeline information for our newer markets in which we have recently completed a partnership. These pipeline numbers are included in the bar graph above. We have seen meaningful growth in three out of four markets and one market that did not experience growth in this pipeline, Ann Arbor, Michigan, had a strong quarter in loan production, which fueled positive regional balance sheet growth. Of particular note, the commercial pipeline at Fort Wayne has more than doubled over the past 90 days with many of their loans being proposed in the accepted category. I’d also like to point out that all of the $24.8 million you see in the Grand Rapids commercial loan pipeline as of 3/31 has been categorized as accepted since Founders chose to limit its pipeline to only those loans that have reached approved status. To provide consistency in future quarters, we will be broadening the definition of the commercial loan pipeline in Grand Rapids to also include the proposed and discussion categories. These record pipeline numbers provides strong evidence that we are moving in the right direction and continuing to execute our plan. That being said, we completely understand that it is imperative that we move as many of these pipeline loans out of the balance sheet as soon as reasonably possible. From a commercial line utilization perspective, we were down 1.8% compared to fourth quarter 2014. This is primarily due to some significant line paydowns, which also negatively impact the balances. As indicated on Slide 19, 1% of line utilization represents roughly $13.5 million in outstanding. Overall, I believe these results continue to illustrate that our strategy in moving our franchise into stronger growth markets is working. It also demonstrates we have the right people in these key markets that continue to build. Slide 20 illustrates the continued positive momentum of our fee-based businesses. As many of you know, 2014 was an exceptional year for our insurance, wealth management and investments division and we are continuing to experience growth in all three business lines. Our 46.6% year-over-year increase in total wealth management revenue is largely attributable to our Tower and United partnerships of the strength, expertise and client base of the associates who are now part of the Old National. It’s also worth noting that late in the quarter, it was the single largest piece of business ever in our trust companies history out of our Indianapolis region. And now for the first time, our trust company has surpassed the $8 billion mark in assets under management. Insurance revenue for the first quarter was approximately $12 million consistent with the first quarter of 2014 that’s in line with our expectations. Continued fee income always provides a nice boost to first quarter insurance revenue, which it did again in 2015. However, it was down compared to first quarter 2014 but last year’s contingency revenue was unusually high due to lower loss rates. Turning to investments, I’ll note that not only is revenue increasing, our recurring revenue is now at 40%. We also have added some tremendous advisors through our recent partnership and we expect them to play a large role regarding growth in 2015, as they continue to become more acclimated to Old National. Lastly, it is our intention to replace the advisors lost to our Southern Illinois and Eastern Indiana divestitures with more advisors in both Michigan and Indianapolis. I’ve added mortgage banking to this slide in order to illustrate the exceptional results that we continue to see in the business category. As we talked about last quarter, the mortgage expertise we obtained for our United partnership is significant, as evidenced by a 400% year-over-year increase in our mortgage fee income. Much of this increase can be attributed to our newest partners in Ann Arbor, Lafayette and Grand Rapids. Additionally, our pipeline of locked loans remain strong and we are very optimistic about continued growth in our mortgage business in future quarters. I’d also like to pick up on a topic that Lynell touched upon in her opening remarks and which Bob spoke about in some detail last quarter. In February of this year, we launched the new cross-sell referral program that has proven to be very successful. As of last Friday, more than 7,300 referrals have already been logged in this new initiative. These referrals have our sales staff and every line of business energized, motivated and working together better than ever before. I further believe we will reap the benefits of this enhanced cross-selling strategy and culture in the months to come. In closing, I feel very good about our progress in both our fee-based business and our core bank. I believe our quarterly results demonstrate that we are executing on our plans. As I said in previous quarters, we have strong leadership and experienced, motivated producers in place throughout our footprint. With our partnership activity winding down, they will be able to focus like never before on executing our revenue growth strategy. With that, I will now turn the call over to Daryl.
Daryl D. Moore: Thanks, Jim. On Slide 22, we layout provision expense and charge-off results for the two most recent quarters as well as the first quarter of 2014 and current quarter for comparative purposes. On a consolidated basis, we posted net recoveries in the quarter of $1 million or 6 basis points of average loans. This compares to charge-off of $1.3 million last quarter, which represented 8 basis points of losses on average loans. Given the net recovery position in the quarter, on a consolidated basis we have no provision expense for the period. While this zero provision was comparable to our 2014 first quarter provision, it was $900,000 more than the provision expense posted last quarter. On a consolidated basis, the amounts for loan losses as a percent of period pre-marked loans stood at 0.72% at March 31 compared to 0.74% at the end of last quarter. As importantly though, the combined allowance and loan marks as a percent of total pre-marked loan outstanding stood at 2.97% at the end of the first quarter, down just slightly from the 3.04% total at year end. On Slide 23, we show you trends in criticized and classified loans over the past year. We’ve displayed not only information for the consolidated portfolio but also trends reflecting what the portfolio would have looked like absence the effect of our four most recent partnerships. As you can see at the top of this slide, our non-covered special mention loans decreased $10.9 million in the quarter from $194.8 million to $183.9 million. The decrease was accomplished even in light of the addition of $13.5 million of special mention loans associated with the Founders partnership and was achieved through a combination of paydowns, payoffs and upgrades along with a few downgrades. Moving to the lower left quadrant, you see that substandard accruing loans also reflected a decline in the quarter falling by $12.2 million in the period to a level of $95.6 million. This decline was achieved despite the addition of $8.6 million in Founders loans, a great share of the improvement was generated from the downward movement of a couple of loans out of this category into the nonaccrual loan segment. The final chart of this slide shows that non-covered nonaccrual loans increased fairly significantly in the quarter rising $17.6 million to $125.7 million to $143.3 million. Roughly $10 million of this increase is attributed to the newly acquired Founders portfolio, as I just mentioned, we did have a couple of loans that migrated into this category from the substandard accruing loan category in the quarter. With the posting of net recoveries in the quarter, we again are pleased with our performance in that category. We’re also encouraged by declining balances in our special mention loans, which reversed a two-quarter trend of increasing exposure in this class. We’re however dealing with several larger commercial credits that are experiencing some difficulty and would expect that they will need to continue to be closely managed throughout at least the balance of the year. Some of these credits were moved to nonaccrual in the quarter while some remain in accruing status and in fee for performance. I’ve mentioned in the past last several quarters, competition for good quality loans continues to be very stiff and proper structuring of loans in the area of term, guarantees and covenants remain a challenge in the current environment. Our delicate balancing act of producing meaningful loan growth without sacrificing the basic tenants of proven underwriting continues to be a challenge for all banks. With those comments, I’ll turn the call over to Bob for concluding remarks.
Robert G. Jones: Great. Thank you, Daryl. Slide 25 is a good summary of the key points that have been made on this morning’s call and it also captures the critical areas that we are focused on as a team. As I reflect back on our performance this quarter, I was pleased with many of the metrics related to our strategic focus for this year. We were able to increase our adjusted revenue by 15% over the first quarter of 2014 but more importantly I do believe we have built a very solid foundation for future growth in 2015 with the strong loan pipeline in our banking group along with comparable pipelines in our fee-based businesses. These along with the early results of our enhanced referral program give me the confidence that we should see growth over the next few quarters. While it is difficult to quantify attitude, I can honestly say that there is a tremendous commitment and understanding by all of our associates that driving quality revenue growth is crucial for us to create shareholder value. Our operational expenses reflect the investments we have made in our new markets, which are important for us to achieve our growth targets. But at the same time, I am most encouraged that by truly abiding with our stated pause does mean pause, we have quickly been able to execute, not just talk about, a number of key initiatives this quarter that should provide our investors with $23 million to $27 million in annualized cost savings. I was very pleased with the response to our early retirement program, which exceeded our initial expectations and will allow us to reduce headcount and at the same time treat long-tenured associates with the respect that they deserve. Our other programs, further headcount reductions, branch closings, consolidation and sales, as Chris stated earlier on, are on track and we remain committed to our 62% efficiency target for the fourth quarter of this year. Clearly an area of some disappointment for us was organic loan growth particularly when we had a 70% increase in overall loan originations, which did include a 50% increase in just commercial loan production as compared to the first quarter of 2014, and we did maintain a very strong loan pipeline. Jim did a good job of providing an overview of the reasons why the growth did not occur and I take comfort from the fact that we are consistent in our approach of not sacrificing credit quality for growth. Each of our large payoffs had unique characteristics, the overarching theme is that the borrower either found better terms, terms such as non-recourse notes or other examples of loan structure we were not comfortable with or they found rates that do not meet our hurdle thresholds. In addition, it is worth noting that some of the benefit of our net recovery position in charge-offs is due to the good work that Daryl and his team have done in moving some of our lower grade credits out of the bank. Those numbers would have been included in the payoffs that Jim noted. In either case, we remain consistent to our risk appetite statement. As I just mentioned, the offset to our minimum loan growth remains our credit quality, which was excellent. As Daryl has stated many times in these calls, we continue to look for ways to increase our risk profile in order to book quality credits while at the same time not sacrificing long-term value to our investors. Clearly, this is the balancing act and one that Daryl does very well. As he mentioned though, we have seen some evidence of deterioration in our lowest grade credits with a few recent downgrades and we will need to be prudent to ensure that this does not become a trend. I have great confidence in the ability of our credit teams to ensure that our credit quality should stay very strong. I will now recap the detail that Chris reviewed relative to our capital strategy, other to reinforce both mine and the Board’s strong desire to continue to be focused on using our capital with our shareholders’ best interest always at the top of our mind. Overall, this is a quarter for Old National that include many positives and should portend for good momentum as we move forward. Clearly the quarter also had a number of what I would characterize as show-me areas. We continue to talk about strong pipelines, strong loan originations and positive momentum yet good core loan growth has not occurred for two consecutive quarters. While I remain confident that it will, I can understand any skepticism that exists. And I also am not willing to sacrifice loan quality for growth. Another area where we owe it to our investors to demonstrate results is with our expenses. We made measurable progress with a number of significant initiatives this quarter and again, I believe we are well positioned to achieve our expense reduction goals in the coming quarters. But I also understand that this has been an area of focus for some time and it’s time to actually show the results. Finally, based on feedback from many of you on the call as well as a number of investors, we’ve provided you with an estimation of the impact of accretion on our future earnings. While clearly this is a very volatile number based on a number of factors, our hope is that you will see that the declining positive impact is much more gradual in nature than immediate. In other words, a slope versus a cliff. And as we traverse down this slope, we remain confident the incremental earnings that we’ll gain from these new markets should cushion and offsite any negative impact by the reduction shown. Please let us know if this analysis was helpful. Turning to Slide 26, I will close by giving you additional color on our last two partnerships as well as an exciting new initiative in Lexington, Kentucky. We had a very successful conversion during the first quarter of our Lafayette, Indiana bank and remain very pleased with where we are in the process. We have a minimal client and associate attrition and there’s a great deal of positive client-focused activity occurring. This past weekend, we had a very successful conversion of our Grand Rapids partnership and as we speak, we have over 35 ambassadors assisting our four new Grand Rapids branches and serving their client. I am very encouraged by the team we have in place as well as some recent new additions to that team, which along with the great leadership of Laurie Beard, our market president, makes me even more confident that Grand Rapids market has an exciting future for Old National. Just as a side note, just before this call I reached out to Laurie and asked her, how it was going? Her response was, well, I’ve already had three hugs and I got a $4.5 million loan application this morning, so I’m confident we’re off to a good start with the new Old National in Grand Rapids. Finally, we were able to hire a very seasoned lender in the Lexington, Kentucky market and we have recently opened up a satellite office in Lexington. Lexington is a market that we have looked to for some time and feel that this satellite office is the best and most efficient means of understanding the market. We have hired an outstanding individual who should be able to bring with him additional RMs and to date in just three weeks, he has already build a loan pipeline of $35 million. It is very important to note that all credit authority remains with Daryl and that the individual we have hired has a very strong credit background at a very well respected regional bank. With those closing comments, we’ll be happy to answer any and all questions.
Operator: [Operator Instructions]. Our first question will come from the line of Scott Siefers with Sandler O'Neill Partners.
Robert G. Jones: Scott, we always talk about consistent quality earnings. You’re always consistent quality in hitting that button first.
Scott Siefers: Well, I try. I have a good associate; does a nice job. Good morning, guys. I hope everybody is doing well. Bob or Jim, I was hoping you guys could chat a little bit more about loan growth. You gave a lot of good color in there, but I’m just curious as to sort of the CRE payoffs, to what extent do you think those are transitory versus an issue that will stick with us for a while? Because you obviously have a very good C&I, but it’s of course being impacted by the CRE issue. So what are your thoughts on the headwind that that’s going to present as we look forward throughout the rest of the year?
Robert G. Jones: Yes, I wish I could be a little more optimistic, Scott. I think with the rate environment where it is, I think all of us were hoping that the Fed might get a little more aggressive midyear. I personally don’t see that happening until maybe third quarter, fourth quarter in terms of rates going up. So clearly you’re going to have a lot of opportunities for lower rates with clearly the structures that we don’t look for and competitions were very tough. Hopefully, we’ve gotten through a good chunk of the largest payoffs, but I think that environment particularly under our risk appetite could continue for a short time coming up.
Scott Siefers: Okay, all right. Thank you. If I can switch gears for a second over to the cost side, just based on the disclosures you guys have made around the timing of the cost savings from the newer efficiency program as well as the cost savings and by that, I mean the sales and closures as well and then just the cost savings on deals. So it sounds like fourth quarter will be the first kind of undisturbed quarter from a full run rate perspective. Is you anticipation that we might kind of hover around this level of core expenses for a while and then have a more steeper drop as we get into the fourth quarter or will the first quarter mark a high watermark and then we sort of gradually slow down – excuse me, gradually grind down such that cost are lower in every sequential quarter throughout the year?
Robert G. Jones: Yes, I think it’s more of a slop, Scott, as we head to that fourth quarter. You’re absolutely correct. The fourth quarter will be an undisturbed quarter by a disturbed management team maybe, but clearly an undisturbed quarter. As you use our headcount as a proxy, the vast majority of our branch closures will occur in the second quarter. This is about 40% of the total headcount we talked about, so for modeling purposes you can assume that first quarter a little bit of a high water number come down at some 40% of an annualized basis on the second quarter. The balance of it should be through the third quarter. I would estimate that the remaining cost saves for the acquisition should be completely through in the second quarter for the most part. The other thing for everybody on the phone, remember in the third quarter adding to the disturbed nature will be – that’s where we’ll have the gain on the sale of our Southern Illinois and the other branches as well. And again, our whole intent was really that sale would offset a number of the one-time charges that we’ve had associated with it. But clearly we’ve communicated to our Board and to ourselves that the fourth quarter really begins to show all the work that we’ve been putting in this for the last few quarters.
Christopher A. Wolking: Scott, this is Chris, I might just add. As we anticipate those sales in the third quarter, there is some resources required just to handle those conversions much like an acquisition, those dispositions take resources too. So it will take – once we get through those sales of those branches, we should see those cost come down as well and that happens in the third quarter.
Scott Siefers: Yes, okay. That’s perfect. Thank you guys very much.
Robert G. Jones: Great. Thanks, Scott.
Operator: Your next question will come from Chris McGratty with Keefe Bruyette & Woods.
Robert G. Jones: Good morning, Chris.
Chris McGratty: Good morning, everybody. I want to follow up on Scott’s just on the expenses. As I look at your adjusted expenses in the first quarter, it was around 105 million. I think your efficiency of 23, 27 about 6 million a quarter and then additional, a 1 million, 1.5 million on the deals. That would suggest kind of a low to mid 90s in terms of 1 million run rate. Is that where you were kind of posturing for us to consider for the fourth quarter being clean, like kind of low 90s or is this kind of a mid-90s run rate for the bank?
Robert G. Jones: Yes, I’d say closer to the low 90s.
Chris McGratty: Okay, so low 90s. That’s helpful. On the buyback, obviously you’re going to get through it this quarter. Can you remind us the capital targets that you guys are looking at, and is there any contemplation given that it seems the message is still hold on deals, how would you consider reauthorizing a buyback midyear or is that just get the capital levels right and then see where you’re at?
Christopher A. Wolking: This is Chris. A lot of it depends too I think on the size of our balance sheet and how successful we are with our shift from kind of low risk assets in the investment portfolio to quality loans, which would imply a little higher need to risk-weighted capital ratio. I think from a tangible standpoint, we’re pretty comfortable where we are and short of something dramatic. I think we want to get through this authorization, see how the numbers line up and then look at things again and as Bob has said, a lot of it depends on how the economy looks, how rates look, what all of those earnings impacts are first going forward.
Chris McGratty: Okay. And then the last question, Daryl, on credit. It sounded like a little bit more cautious on credits that are popping up. Is the expectation to kind of build – assuming we don’t get any more recoveries, build provisioning from here? Obviously zero is pretty tough to go lower, but I guess the question is, is the provisioning going to go materially higher over the next few quarters to get to these headwinds?
Robert G. Jones: Chris, I’ll just say – this is Bob, I’ll let Chris actually answer the question but we actually had to change Daryl’s slide because if we hadn’t put the fourth quarter to compare first quarter, first quarter would have been called flat line Daryl, because zero meant zero.
Daryl D. Moore: Chris, you’re right. I just don’t see a possibility for continuing zero provisions for the balance of the year. It all depends just on how we work through some of these handful of nonaccruals that we have because of the level of that provision. But I would – looking at Bob, I just don’t think anyone has expectations that we’re going to add zero provisions on a go-forward basis. It will be higher.
Christopher A. Wolking: I’d argue also, Chris, as we continue to build the balance sheet, you’re going to have this provision for growth as well. So really my desire would be to able to provision because I think it will be a reflective of growth in the balance sheet and it’s as good of work as Daryl does. We can’t continue to just get the net recoveries like he had.
Chris McGratty: And then the tax rate will stay about here from here.
Christopher A. Wolking: The tax rate was a little interesting this quarter. We had a couple of spring items that impacted our fully taxable equivalent rate and that was up like 39.9%, close to 40%. We’d expect that to come down back to a more normalized at 34.5%, 35% on an FTE basis and probably 28% on average for the year on a GAAP basis. So a little higher this quarter than we expect to see going forward.
Chris McGratty: All right, that’s helpful. Thanks a lot guys.
Robert G. Jones: Thanks, Chris.
Operator: Your next question will come from the line of Emlen Harmon with Jefferies.
Robert G. Jones: Good morning, Emlen.
Emlen Harmon: Good morning, everyone. Bob, how are you?
Robert G. Jones: Good. How are you doing?
Emlen Harmon: I’m doing good. Thanks. I’m going to kick it off talking about Lexington, is that satellite office that you’re opening effectively an LPO or is that a full service facility? And just kind of what’s your ability or desire to add de novo there over time?
Robert G. Jones: Great question. We like the word satellite much better because LPO has some negative connotation because it’s actually an LPO. So just short story, our advisory board in Louisville, Jim Sandgren went for a meeting probably 90 days ago and one of our advisory board members said, there is this gentlemen that is just as good as I’ve ever dealt with in the banking. He’s a little frustrated with his current employer. He’s in Lexington. I think he’ll be a perfect candidate for Old National. Jim did a great job along with Daryl talking to this person and he really wanted to join the team. We were very, very comfortable with him and mostly his background credits. We’ve looked at Lexington now for, gosh, eight plus years. You’re acquiring or doing something, it’s an important market in Kentucky, so we’re going to start with this individual. He believes he can bring in additional producers. We’ll see how the market accepts our style, our credit quality, our penetration. Over time and when we may open a branch there, my hope is that we’ll be as successful as we think we can be and then we’ll try to open a few branches. But I think it’s a good example of pause means pause. We don’t want to put capital at risk. This is a good way to test markets where we believe we can get really good growth. We’re not going to go out and do this in places outside our footprint, but I think we’re seeing enough opportunity to lift our producers and some key markets like Lexington that would be silly not at least try.
Emlen Harmon: Got it. Thank you. That’s helpful. And then your footprint tends to have I’ll say more manufacturing exposure than most. Have you seen any – your customers rather have seen any economic events just from the stronger dollar and volatility in oil prices, just kind of – how is that affecting the outlook there?
Robert G. Jones: Actually a pretty positive impact mostly driven by the lower gas prices. What we hear from our clients is the cost of production has gone because of the cost of fuel going down helps. Clearly, the stronger dollar has hurt some of our larger exporters but the beauty of our markets tend to be a little more less international and more domestic. Again, I think it is evidenced by the pipeline and the optimism you’re hearing from Jim. Our clients feel very good about where they are today.
Emlen Harmon: Got it. Thank you very much.
Robert G. Jones: Thanks, Emlen.
Operator: Your next question comes from the line of Jon Arfstrom with RBC Capital Markets.
Robert G. Jones: Good morning, Mr. Arfstrom.
Jon Arfstrom: Good morning. A few questions here. Just on the pipeline for you Jim or Bob, but what do you think is behind the increased pipeline. Is it a wider net? Is it the markets? Is it overall optimism of the borrower? What would you attribute that too?
Robert G. Jones: Yes, I’d say all three of the above plus I think Jim’s leadership and that’s why I’ll answer the question. I think Jim has done a very, very good job. We talked about this referral program and I know it’s kind of a warm and fuzzy, but we held our first ever sales summit in mid February that Jim led, and you get people focused. And Jon I’d also argue that the fact we are not so engaged in integrations and due diligence and partnerships really allows us to get on our toes and be busy. But clearly the activity level amongst our folks is very strong. Our clients feel very good. The new markets as Jim said between Kalamazoo and Ann Arbor, a lot of good production there. But we’re seeing a drop in footprint. The level of cooperation between credit and origination is very strong as well.
Jon Arfstrom: I did have a question on the referrals. If you could maybe give us an idea of the top two or three referrals – type of referrals that are coming through, is it as simple as mortgage or wealth or are there other different examples?
James A. Sandgren: Yes. Obviously a lot of them were coming from into retail banking, but I see the bigger pick up has been in the insurance business. Big percentages are coming on insurance investments as well to our financial advisors and wealth management too. So it’s really been a nice – I think it’s spread out among all of our lines of business. Mortgage, they almost kind of feel part of that retail banking group but mortgage is almost – is the highest one. So, again, I think there’s a huge spirit of cooperation, understanding of the great products and services that we have across all of our lines of business. We did spend a lot of time back in February talking to everybody reminding them of just the experience and expertise that we have in all of our lines of business and I think that’s starting to really payoff for us.
Jon Arfstrom: Okay, good. And then maybe Chris, one for you, just in terms of we’ve talked a lot about expenses but maybe a little bit on the revenue outlook. It seems like with the pipelines and a stabilizing margin, you’re anticipating some decent net interest income growth. Can you provide us any update in terms of what you’re thinking now?
Christopher A. Wolking: Jon, we are probably as asset sensitive as we have ever been at the company and that will have an impact. As Bob said, if the short-term rate increase gets pushed out 60, 90 a year from where we are today, that will have an impact on our ongoing net interest margin. But frankly the nice increase in the loan outlook gives me some comfort when we have to think about reinvestment in cash flows from the investment portfolio, and I feel like we’re on the fence for being able to drive a lot of those to investment portfolio, which would allow us to keep the balance sheet about the same, keep our capital and all of the work we’re doing and buyback and such kind of in play. So it’s really in that rotation out of low-risk assets into better quality assets that I’m anxious to see, but interest rates will clearly have an impact on our net interest --
Jon Arfstrom: Low risk, low yielding assets.
Christopher A. Wolking: Low risk, low yielding, that’s right. It’s awfully hard to get excited about current investment portfolio opportunities out there as rates stand right now.
Jon Arfstrom: Okay. And then Bob, just last one. How long does the pause last? I like this, by the way. I think it’s overdue and I don’t mean that in a negative way, but getting efficient and cross-selling I think is a good thing for your company.
Robert G. Jones: Yes, it’s all about execution at this stage. And we’re in all the markets we want to be in. We still look at books. There’s been nothing that would cause me to go back on our pause means pause. And Jon, I’d be honest, I’d be – I think '15 is all about execution. I think by fourth quarter being our undisturbed quarter, I don’t want to disturb that. And unless we see something I can’t live without, I just don’t see us changing. I think we’re very encouraged by a little bit of what we see going on in Lexington and we’ve been able to hire. We just hired a very strong RM in Kalamazoo that joined us from a regional. We just hired another RM in Grand Rapids. I think Jim Sandgren and I are of the mind that we want higher talent in our markets and get a much better return for our investors.
Jon Arfstrom: Okay. All right. Thank you.
Robert G. Jones: Thanks, Jon.
Operator: Your next question will come from the line of John Moran with Macquarie Capital.
Robert G. Jones: Good morning, John.
John Moran: Hi. Good morning, guys. How’s it going?
Robert G. Jones: Good.
John Moran: Chris, I think you just kind of hit on some of this here but I guess investments as a percentage of earning assets sitting 33%, 34% of earning assets today. With sort of the remix, where do you think you could work that down to over the next couple of quarters or is there a target there or a hope?
Christopher A. Wolking: Yes, the operative word you used is down. I think as you look at – especially if you look at period end 12/31 fourth quarter, you’ll see a fairly nice decrease in the investment portfolio as we’ve rotated those assets in with the loans. I wish I could hold the number out there. Clearly at 33% it’s – those mid-30s, it’s higher than we like to see it. I always like to be somewhere in the 20s, but we have to do what we have to do. Fortunately, we’ve had some tremendous deposit growth and that just requires us to make those investments where we can deploy that cash. So we’ll keep working at it. A day doesn’t go by where I don’t mention Jim saying we want more loans, so that’s what it’s all about.
Robert G. Jones: [indiscernible] I’d say a minute doesn’t go by that I don’t walk down to Sandgren’s office and say we need more loans.
John Moran: All right. The other one I had for you was just on production yields. It looked like on commercial, they popped up a little bit and I’m just trying to balance that against some of the commentary that you had about competitive environment. Do you think that it’s sort of sustainable here or that we’ve seen the worst of the erosion, and despite it still being kind of a tough environment where folks are slugging it out, that maybe pricing has just gotten – kind of found the bottom?
Christopher A. Wolking: Yes, I don’t know about that. I wish that was the case. I think we’re going to continue to see heightened competition from a pricing structure standpoint I think for the balance of the year. I think probably the biggest thing is just the mix of loans that went on the books in the first quarter, so I’d love to see that trend continue going up. I think it was probably just more a function of mix of the loans that we were putting on the balance sheet in the first quarter.
John Moran: Got you. Thanks guys. That’s helpful.
Robert G. Jones: Thanks, John.
Operator: Your next question will come from the line of Andy Stapp with Hilliard Lyons.
Robert G. Jones: Good morning, Andy.
Andrew Stapp: Good morning. Have all the United cost savings been realized?
Robert G. Jones: Yes. United is fully integrated. We’ve been operating as a region, so we’re in good shape with United. The only remaining cost to come out would be clearly Founders. As you know, we converted this weekend and we still have a little bit of Lafayette, but all the other ones – we’re a rip the Band-Aid organization.
Andrew Stapp: Okay. And do you have a rough breakout of the line items that were impacted by noninterest expenses that you talked about in your press release? I know most of them were in salaries and benefits. Any other line items?
Robert G. Jones: Jim gave a slide I think in the deck, but --
Andrew Stapp: Do you?
Robert G. Jones: Andy, if you don’t see what you need there, just give us a call and we’ll try to break that down --
Andrew Stapp: Okay, great. The rest of my questions have been answered. Thank you.
Robert G. Jones: Great. Thanks, Andy.
Andrew Stapp: Sure.
Operator: [Operator Instructions]. Your next question will come from Stephen Geyen with DA Davidson.
Robert G. Jones: Good morning, Stephen.
Stephen Geyen: Good morning. How are you?
Robert G. Jones: Good.
Stephen Geyen: Maybe first off, you talk about the rotation from securities into loans and that’s great. The margin held in there this quarter. What is the yield on the cash flow from the securities?
Christopher A. Wolking: Stephen, I’d have to go back and look at that. The interesting thing about our portfolio, as you know, we’ve got a lot of short-term stuff and then we’ve got a lot of longer term municipal bonds. So it’s not inconsequential. I think if you look at the yield on the portfolio from fourth quarter to first quarter, we were able to hold it pretty close. I think we actually went up a basis point, but it’s down 20 basis points from first quarter 2014. So I think you can surmise from that that we’re giving up some fairly high yielding municipal bonds just through cash flows and refinancing, but that we’re also just trying to stay out of the really short-term stuff that might be a drag on the margin. So it was a little bit of both. We’ll just continue to do it again with the investment portfolio and cash flows and redeploy them where we think we’re getting a good risk-return tradeoff that’s consistent with our desire to be asset sensitive.
Stephen Geyen: Okay. And do you have a good maybe estimate as far as what the yield was on that 340 million in loans, the core growth this quarter?
Christopher A. Wolking: I don’t have that number. The only number we included in there was your new origination numbers. I think yield on loans on the commercial side, it’s awfully hard to look because we have to report the accretion as well in that number. So we can probably split that out for you --
Robert G. Jones: We’ll try to get that analysis done for you, Stephen, and get it to you because [indiscernible] it’s a good question.
Stephen Geyen: Okay. That’s great. And maybe just one final question related to the margin, kind of how you think that might play out over the course of the rest of 2015?
Christopher A. Wolking: Again, I go back to my discussion about interest rates and clearly if rates go up, I think we will certainly – short-term rates go up, we should see a benefit from that. There’s really no clarity around the direction of rates. And as I noted, as long as we continue to redeploy cash flows or not get the benefit of our strong deposit franchise from a rate standpoint, it’s going to be tough to maintain that core margin. But we think we’re closer to the end of those low rates than we are at the beginning.
Robert G. Jones: You heard Chris say at least for next quarter we’re reasonably comfortable at relatively flat, and I think we’re all hoping that rates go up. But if not, it’s still a tough thing to maintain.
Stephen Geyen: Okay, it makes sense. Thanks. And just one final question. You talked a little bit about this last quarter I believe. Just wanted to clarify, but as far as the branch sales and the closings and everything – and you gave some great color as far as the cost saves and kind of the progression through the year. Do you have any additional color or clarification on the impact to revenue?
Robert G. Jones: Honestly, Stephen, if you think in the franchise we’re selling, it’s very deposit rich with not a lot of assets. So we don’t think it’s a meaningful impact on revenue. I think with the sale we’ve got, it’s really mostly deposits.
Stephen Geyen: Got it. Okay. And as far as fee income, not significant either?
Robert G. Jones: No. A little bit on service charges but none of those franchises have very much in the wealth or investment side.
Stephen Geyen: Got it, okay. Thank you.
Robert G. Jones: The reason you’re selling this is because you’re not making a lot of money there.
Stephen Geyen: Got it.
Operator: Currently, we have no further questions. I’ll turn the call back over to you for closing remarks.
Robert G. Jones: Great. Well, thanks again everybody for your time. As always, if you have follow-up questions, let Lynell know. If there’s additional color we can add in future slides, we’re always happy to do it. So, again, thanks for your time.
Operator: This concludes Old National’s call. Once again, a replay along with the presentation slides will be available for 12 months on the Investor Relations page of Old National's Web site, oldnational.com. A replay of the call will also be available by dialing (855) 859-2056, conference ID code 23961693. This replay will be available through May 11. If anyone has any additional questions, please contact Lynell Walton at (812) 464-1366. Thank you for your participation on today's conference call. Bye-bye.